Operator: Good morning. And welcome to the TETRA Technologies, Inc. Second Quarter 2015 Results Conference Call. All participants will be in a listen-only mode. [Operator Instructions] After today’s presentation, there will be an opportunity to ask questions. [Operator Instructions] Please also note this event is being recorded. I would now like to turn the conference over to Stuart Brightman, President and CEO. Please go ahead.
Stuart Brightman: Thank you, Emily. And welcome to the TETRA Technologies’ second quarter 2015 earnings conference call. Elijio Serrano, our Chief Financial Officer; and Joseph Elkhoury, our Chief Operating Officer are also in attendance this morning and will be available to address any of your questions. I will provide a brief overview of the second quarter results then turn it over to Elijio for some additional details, which in turn will be followed by your questions. I must first remind you that this conference call may contain statements that are or maybe deemed to be forward-looking statements. These statements are based on certain assumptions and analyses made by TETRA, and are based on a number of factors. These statements are subject to a number of risks and uncertainties, many of which are beyond the control of the company. You are cautioned that such statements are not guarantees of future performance and that actual results may differ materially from those projected in the forward-looking statements. In addition, in the course of the call, we may refer to net debt, free cash flow, revenues, gross profit, profit before tax or earnings per share, excluding the Maritech segment, adjusted EBITDA or other non-GAAP financial measures. Please refer to this morning’s press release or to our public website for reconciliations of non-GAAP financial measures to the nearest GAAP measures. These reconciliations are not a substitute for financial information prepared in accordance with GAAP and should be considered within the context of our complete financial results for the period. I would first like to start with an overview of the second quarter then give a brief outlook of our market assumptions, which will also cover some of the rational behind the third quarter guidance included in this morning’s press release. While it is very unusual to give guidance in this market, given our strong performance in the second quarter, we do want to provide with some clarity regarding our net near-term outlook. With that, our second quarter 2015 adjusted earnings, excluding Maritech and unusual items was $0.16 per share. Some of the key highlights of the quarter include, record quarterly revenues, adjusted EBITDA and operating income for the Fluids division. Continued strength in our free cash flow was $43 million in the quarter excluding the impact of Maritech. We believe we continue to have line of site to the cash flow objectives that we set out earlier this year. As a result of our strong free cash flow a $38 million reduction in TETRA net debt compared to the end of the first quarter, where TETRA’s debt leverage continuing to trend down for the third consecutive quarter to 2.38, the very successful introduction of a new completion fluid in the Gulf of Mexico. All divisions were profitable on the basis of operating income in the second quarter, excluding reserve for bad debts for our Production Testing business. A record DSO improvement of 13 days from previous 68 days at the end of the first quarter, all this is being driven by continued reduction in operating expenses and efficiencies across the company and expansion of our customer base. Obviously the record performance of our Fluids division is driven by multiple factors. First, we had several major projects taking place in the second quarter that generated significant revenue and profitability. A portion of this was accelerated from the third quarter and pulled into the second quarter. The introduction of our new completion fluid was a positive contributor to the second quarter, along with continued strength in our international Fluids business and continued strengthen our Chemicals business, including the normal favorable impact of the summer season in Europe for the second quarter. And finally, we have the beneficiary of $2.6 million credit associated with insurance settlement in the Fluids division. Overall, an extremely strong quarter for this division which we are obviously very pleased with. Our Production Testing division reported an adjusted pretax loss of $425,000, excluding the impact of the reserve for bad debt. The Production Testing segment generated a profit of $575,000, a sequential improvement over the first quarter of this year. We continued to be very aggressive in cost management and equally important we continue to expand our customer base. With about half of the divisions business in international areas, we continuously strengthen those markets and believe the combination of the cost actions taken domestically, the expansion of the customer base and international strength will allow us to breakeven in this division at the operating income level. EBITDA for CSI Compressco was essentially flat from the first quarter to second quarter and significantly higher in the second quarter of 2014 due to the CSI acquisition last August. This week we celebrated our one-year anniversary of the acquisition, several trends are notable in this market that we touched on yesterday during the CSI Compressco call. First, we have seen slight deterioration and utilization in our Compression Services business driven primarily by the impact of the some of the liquid-related applications. We are seeing modest pricing pressure as we see on other Onshore Service businesses but not nearly to that same extent. However, we continue to progress very tackily in this business and invest in the higher horsepower compression where our utilization continues to be in the mid-90s. During the second quarter our equipment and part sales revenue increased by $30.8 million over first quarter, as we were able to accelerate certain deliveries based on the existing backlog. Also during the quarter we increased our distribution to $0.50 per unit, which represents a 10.5% increase versus the second quarter of 2014. Overall, we see this business bottoming as we approach the end of the year and believe that they will continue to have investment opportunities in the larger horsepower in the short-term. Our Offshore Services segment achieved an adjusted pretax profit of $2 million for the second quarter of 2015. This sequential improvement was expected during the seasonal element of this business. But more importantly was driven by very aggressive cost actions that allowed us to generate profit in an environment or our second quarter revenue compared to 2014 went from $56 million to $36 million. Our ability to continue to be probable for the full year in this business will be driven by our focus in cost and our ability to keep our major assets utilized in a very challenging market. During the second quarter we spent $4 million on America's abandonment decommissioning. We expect to finish the work that was budgeted early this year during 2015 with the objective of completing the obligations in 2016. Free cash flow for the quarter was $43 million. This was due to a combination of our improved cash earnings, continued reductions in capital expenditures and the aggressive management of our working capital as reflected in our reduced DSO metrics. As a result of this free cash flow generation, our net debt was reduced to $349 million and our debt leverage ratio was reduced to 2.38. The singular focus of our entire management organization is to generate free cash flow during this challenging market. We are very pleased with earnings for the quarter driven by the strength of our Fluids division and we are very pleased with our cash flow driven by those earnings, as well as ongoing focus on cost and working capital. The actions we have taken in headcount, cost, customer diversification, all fall under the common umbrella of controlling those elements that we are able to control in a time when predicting future activity continues to be a challenge to all of us. Last theory I would like to comment on is the guidance outlined in our press release for the third quarter, while we did not give guidance earlier this year, I feel the need to give it strictly for the third quarter, given the very strong results we reported for the second quarter. If I noted there were several factors in our Fluids division that were exceptional and should not be viewed as the ongoing run rate. For example the $2.6 million insurance settlement clearly is the second quarter event only. The timing of major projects in the Gulf of Mexico included the acceleration of several projects. Also as a reminder, our calcium chloride business has its seasonal peak in the second quarter. However, we expect that our successful launch of our new product and other products into the Fluids division, we will continue to create opportunities as we go forward. Overall, we expect the Fluids division to be strong in the third quarter, but not at a level of what we achieved in the second. As noted earlier, we expect our full year results for Production Testing and Offshore Services at the operating income level to be at breakeven. We expect our Offshore Services business to experience the typical seasonal progression, which would anticipate the third quarter being stronger than the second quarter. We expect Production Testing’s third quarter to be similar to what we reported on an adjusted basis for the second quarter. For CSI Compressco, we expect to see utilization of our fleet to continue to move down modestly through the end of the year. And we expect that our existing backlog will continue to support stronger equipment sales through the end of these years. All of these items allow us to be confident in the third quarter guidance we provided this morning. At this stage, I'll hand it over to Elijio.
Elijio Serrano: Thanks Stuart. TETRA revenue of $316 million increased 31% over the second quarter of last year reflecting the acquisition of CSI by Compressco on August 4 of 2014 and the strong fluid results. Sequentially revenue increased 27% from the first quarter with the Fluid Division up 24%. Offshore services up 203% due to the seasonality of that business and CSI Compressco up 23% on strong equipment sales. This more than offset a modest reduction of 6% in Production Testing revenue, which compares favorably to a decline in North America average rate count of 40% in the second quarter compared to the first quarter of this year. Fluid segment revenue increased 5% from last year to a record high of $103 million and increased 24% sequentially for the items you mentioned earlier. Our adjusted pretax margins improved 20% to 26.6%, up 860 basis points sequentially with especially the leverage available in our Fluids franchise. The fall-through percent or incremental margins on the incremental revenue was 63% partially aided by the benefit of an insurance settlement in our favor of $2.6 million with seasonally strong Europe Fluids business, Offshore shipments to the Gulf of Mexico and internationally in addition to strong sales of calcium chloride to non-oil and gas sector. We clearly benefited in the second quarter from the industry and geographic diversification of our Fluids business. These results were achieved despite a slowdown in our water management business that was expected given the decline in North America onshore rig count. Production Testing revenue of 35% was down 18% from a year ago and down 6% sequentially. In the second quarter, we took $1 million dollar charge for bad debt expense. Excluding this charge, adjusted EBITDA margins in the second quarter were 19.4%, up 140 basis points sequentially in a very challenging environment. These 19.4% adjusted EBITDA margins compared to 16.1% in the second quarter of last year. The improved margins reflect the strength of our international business diversification of our customer base and 21% reduction in cost on the same period a year ago. The compression segment revenue increased $94 million from a year ago, reflecting the CSI acquisition. Sequentially, revenue increased 23% on stronger sales of new equipment, some that had been previously delayed. Backlog of new equipment sales was $87 million at the end of June. CSI Compressco indicated in their earnings conference call yesterday that they were starting to see an increase in bidding and quoting activity for new equipment sales. Adjusted EBITDA margins were 24.4%, down sequentially reflecting the higher mix of equipment sales in total revenue. Utilization of our compression fleet was 83.6%, down from 86.4% in the first quarter of this year. This is consistent with our expectations coming into the year as a majority of the reductions in utilization as we are smaller sized equipment. CSI Compressco has converted over 60% of their contract to be MLP compliant. Offshore Services revenue increased from $12 million in the first quarter to $36 million in the second quarter of this year, following the seasonality of our decommission in business. Compared to a year ago, revenue was down 36%. However despite a 31 -- $21 million decline in revenue from a year ago, operating income was down only $1.8 million as we have aggressively right sized this business to match the current market environment as customers delay doing decommissioning work to protect their balance sheets. Generating a fixed percent operating margin in a 14% adjusted EBITDA margin in this market reflects the aggressive efforts by our management team to control cost. On a GAAP basis, earnings per share were $0.19 in the quarter. In the quarter, we introduced small amount of severance expense of $320,000. On an adjusted basis to exclude the severance and to reflect our traditional 30% tax rate earnings per share were $0.16. Since June of last year, we have reduced headcount outside of CSI Compressco by 24% to reflect a reduced activity levels of pricing pressures we are seeing. Our tax rate in the second quarter was 15% if we continue to benefit from the deferred tax asset allowance we recorded last year for our U.S. tax loss carryforwards. We expect our effective tax rate on a normalized basis to be up approximately 30%. The difference between our expected 30% tax rate on a go-forward basis and the 15% reported tax rate reflected in our GAAP results is a reflection of drop in earnings per share by $0.03. We have our U.S. tax loss carryforward generated mainly from historical Maritech losses as well as tax credits, which represent a tax benefit of approximately $85 million as of the end of last year, which will reduce -- significantly reduce future tax liabilities. The $85 million of tax loss carryforwards can offset over $240 million of taxable income in the United States. Therefore we are not currently paying taxes in the United States as we utilized our tax loss carryforward. On a go-forward basis as the economics of our industry improved and our Maritech losses are behind us. The ability to generate cash earnings are enhanced as we utilized this tax loss carryforwards in the tax credits for all our U.S. businesses including TETRA’s earnings from CSI Compressco. To summarize the difference between our GAAP earnings of $0.19 and our adjusted earnings of $0.16 is to normalize our low 50% tax rate to an expected 30% on a go-forward basis. We did not recorded in the second quarter, our tax charge for deferred taxes that needs to be normalized. We are simply indicating how our future expected tax rate will impact EPS. During the quarter, capital expenditures for TETRA excluding CSI Compressco were significantly reduced from $18 million a year ago to $3 million in the second quarter net of proceeds from the sale of assets. We believe capital expenditures for TETRA will be closer to $25 million this year compared to $65 million in 2014 and $75 million in 2013. Our CSI Compressco capital expenditures are targeted to expand our fleet with mid and larger size compressors being deployed of gathering system, central delivery system and large wall production requirements with the emphasis on production. Utilization levels for this type of units are higher than the overall average of the segment. As a reminder, the capital expenditures for CSI Compressco, are being wholly fully funded by CSI Compressco capital structure without any support from TETRA. During the quarter, TETRA received distributions from CSI Compressco of $7.7 million, up 26% from a year ago. This represents a distribution to TETRA for the 42% of the outstanding units that we own in our 2% general partner interest. As you recall, when we did the IPO of Compressco in 2011 is that GP were only receiving 2% of the distributions for the general partnership. As the distributors have been gradually increasing, we have surpassed 50% in senate distribution rights threshold in late last year after the CSI acquisition we reached a 25% IDR. At our current annualized distribution of $2 per unit, we’re only 16.5% away from reaching the 50% IDR threshold that will significantly accelerate the distributions to TETRA as a general partner of CSI Compressco. The year-over-year increase in distributions for CSI Compressco was 10.5% with a coverage ratio of 1.19. As of yesterday, the units of CCLP were trading at a yield of 14.1%. Days sales outstanding improved by 13 days from the end of March this year to 55 days at the end of June. This improvement from our customers are focused on preserving cash reflects the quality of our customer base, the focus by the organization on timely invoicing collections, the favorable mix of equipment sales by CSI Compressco for we advance bill for equipment and our ERP system initiatives to automate the invoicing process by doing electronic invoicing to our customers. As a result of all this initiative, the lower capital expenditures reduced Maritech decommissioning work, improved working capital management and stronger earnings. Free cash flow for TETRA was $43 million, excluding Maritech sale, or $39 million after spending $3.8 million of Maritech. The $39 million of free cash allowed us to reduced net debt by $38 million. Through six months, we have generated free cash flow for TETRA of $33 million after expanding $4.4 million for Maritech. We expect Maritech ARO expenditures this year to be approximately $9 million. Therefore, we believe we are well on our way towards our goal of generating more than $50 million of free cash flow for TETRA in 2015. We believe also that the $39 million of free cash flow after Maritech expenditures is a reflection of the quality of the earnings for TETRA in the quarter. With respect to the balance sheet, we previously mentioned the TETRA and CSI Compressco’s debt are distinct and separate from one another. TETRA improved our leverage ratio to 2.38 times debt to EBITDA. This 2.38 leverage ratio is as defining our TETRA debt agreements. This is the third consecutive quarter where we have improved our leverage ratio, a significant accomplishment for a small cap oilfield services company and the North American rig count is down 55% from the higher last year. TETRA’s liquidity at the end of June was at $130 million, with liquidity being defined as availability on our revolver, plus cash on hand. CSI Compressco’s liquidity at the end of June was $194 million. We believe we are in a good position to manage this downturn with adequate liquidity plus TETRA generating free cash flow. With that, I'll turn it back to Stu.
Stuart Brightman: At this point, we will take some questions.
Operator: Thank you. [Operator Instructions] Our first question is from Marshall Adkins of Raymond James. Please go ahead.
Marshall Adkins: Good morning, guys. I guess there is more to TETRA than just part ownership in the Compression company.
Stuart Brightman: I think that hasn’t changed, Marshall.
Marshall Adkins: You are, I think probably the only company in our service company universe that actually posted meaningful sequential improvement here. So, I want to try to understand better exactly what's going on and how repeatable it is. On the Fluid side, I understand the insurance thing and the calcium chloride. But it sounds like the Gulf of Mexico was still fairly healthy and you would expect that to continue to be relatively healthy going forward. So could you just give us a little more color on that and maybe are there any product line issues outside of the geographical issues that are driving the Fluids to do so well?
Stuart Brightman: Yeah. I mean, great question and I anticipate there is going to be a lot of questions round the Fluid sustainability. Let Joseph give you a little bit more color on that because I do think it’s very important.
Joseph Elkhoury: Good morning, guys. Hi, Marshall. Just to give you a little bit of color moving forward. Of course, Q2 was exceptional with our Fluids and Stu covered the reasons moving into the next half of the year where like we said in the previous two quarters, very comfortable with our Q3 backlog. It’s going to be consistent with our backlog in the last two quarter excluding a couple of projects that didn’t move into Q2. We have been in touch with every single customer on every single project that we have moving into the second half of 2015. And we believe our customers seem to want to continue the current projects. In addition to the Offshore projects that we have, most of the U.S. plant performance has been due to winning expand market share in general and the increased use of our completion Fluids due to visible use of these disposables composite plugs, which is really reducing the cost our customers by eliminating some of the coil tubing cost in these -- competing these wells. On the topic of the Fluids strength and the new products, we mentioned several points here. My intention is to really talk about the multitude of why the Fluids backlog is strong. In the Gulf of Mexico, we did complete 11 projects in Q2. We saw the benefit of our ultra deepwater filtration units that we introduced in the second half of 2014 and we also introduced a new product that is zinc free and heavy fluid than we are working with one of the main customers, major customers in the Gulf of Mexico. In land, we introduced the automated blender to help our customers save money on water management and water transfer by mixing produced water and fresh water and really reducing the money they are spending on water disposal. Internationally, we had several first week, completed the first successful PayZone clean seal in the U.S. The first oil fixed additives in sale in the West Africa market. We saw an improvement in mixing frac or Fluids on deep gas wells in Saudi and we gained an important environmental approval for a series of our additives in that space. We also had good performance overall in land. Looking further out, in the next two or three quarters, the last weeks, the deteriorating market environment have really pushed us to really think about what we consider the backlog moving beyond 2015 well into 2016. We will definitely see an impact on main Offshore heavy projects if the oil price stays below $50. We have modeled that rig count and we believe that with the introduction of the new products that I mentioned and with our current market share, we can tell you that in the second half, we feel comfortable moving into the beginning or the first part of 2016 we are comfortable and hopefully the next two to three months will provide us with a better visibility to these Offshore projects, international projects and the land activity overall. I hope these answers the questions for everybody. I prepared these notes to make sure we anticipate the strength in our Fluids Division.
Marshall Adkins: Yeah. That’s very helpful. So it sounds like it’s not just the Gulf of Mexico that’s strong but it’s U.S. land that actually performed well despite relatively crappy U.S. land market and international as well. Did I hear that correctly?
Stuart Brightman: Yes. Yes, I think our onshore Fluids as well as our international Fluids continued to be strong. The area that is the one weakness that cut us part of the Fluid segments water and we talked about that last quarter that’s continued. The water transfer is certainly activity wise and pricing wise under a lot of pressure and we expect that to continue.
Marshall Adkins: Were there any specific customer and this was kind of broad-based, correct?
Joseph Elkhoury: Yeah. We have our magnitude of customers that cut across the revenue and the results for the quarter.
Marshall Adkins: Last one for me. Baker Hughes, Halliburton merger, will that have any impact on that Fluids business at all?
Joseph Elkhoury: It’s hard to say. It might certainly -- we are very focused on continuing to introduce technology to be a very viable player in that space and the more we can step into fill any void that’s created, that would be great. So, we are not modeling, projecting it but we are certainly doing everything within our control to better position ourselves.
Marshall Adkins: Thank you, Stu. Thanks, guys.
Operator: Our next question is from Sean Meakim of JP Morgan. Please go ahead.
Sean Meakim: Hey. Good morning, guys.
Stuart Brightman: Good morning.
Sean Meakim: Well done on the quarter.
Stuart Brightman: Thank you.
Sean Meakim: I want to talk little about Compression. So from a TETRA perspective, what’s your view on distribution growth for CCLP from here, trying to balance the desire to show the market some form of consistent growth in the distribution but also managing cash and what could be more challenging downturn there?
Stuart Brightman: Yeah. I think those are the variables that as we get together as a Board every quarter, we review the outbound forecast view of the assumptions, the predictability, to be conservative on the coverage ratio, make certain -- we don’t get ahead of ourselves, look at the capital and target. I think the thing you heard on the call yesterday, we try to reiterate today is we are still putting growth capital into that business and continue to. And it’s very, very targeted in the areas we are putting it in are in areas where we continue to have utilization in the mid 90. So, we balance the balance sheet, the leverage, the distribution expectations, the returns on individual capital, and we try to take as balanced approach as we can and we have a great debate internally what that needs to look like.
Sean Meakim: Okay. Thank you for that. And then thinking about on the cost side, you guys have done a great job managing the cost structure, but it’s been an ongoing process for over two years now. And so if the downturn improves the more protracted, which seems like the base outlook at the moment. I guess it would be helpful to see what other leverage due to pull, other things that Joseph, Elijio are working on to maintain profitability, even if the downturn stays more protracted.
Stuart Brightman: Yes. I will let each of those guys give their perspective of what they’re working on within their responsibility.
Joseph Elkhoury: All right. So this is Joseph. Thank you for the question. It’s important that we give a little bit of color to the tactical execution and the cost actions that we have done. As a disclaimer, I always tell the division has that you will never be able to cut cost. So part of our practical execution is to diversify our customer base. And like Elijio mentioned in his prepared remarks, we need to make sure that we diversify towards more stable, lower risk and highly active customers. And that part of our tactical execution has paid dividends. In addition to that, talking about the cost, in the first half of 2015, we have achieved around $30 million from headcount reductions and multiple other cost management initiatives. That includes supplier cost management, market pricing on fuel and lubricant negotiations, the consolidation of several of our suppliers so that we can get better pricing and better quality and delivery. Also, fleet consolidations with regards to our vehicles, aggressively consolidating what we need and what we don’t, and basically monitoring all discretionary spend on hotels, rental cars, travels and so on. So that gives you enough I guess for some of the H1 2015 or the first half of the year and we see that benefit carrying with us into the second half.
Elijio Serrano: And Sean, the only other significant initiative that remains other than just adjusting this activity moves between locations is the implementation into the acquired company, CSI of our ERP system. They will allow us to leverage the support structure that we have in Houston and be able to bring synergies for both entities. So that’s the next significant initiative, but any of the effect on that will not be realized until next year.
Sean Meakim: Got it. Okay. Very helpful. Thank you, guys.
Stuart Brightman: Thanks, Sean.
Operator: Our next question is from Stephen Gengaro of Sterne Agee CRT. Please go ahead.
Stephen Gengaro: Thanks. Good morning, guys. One more question on the fluid side, I think traditionally the European calcium chloride business adds kind of $7 million to $10 million sequentially. And I wanted to get a sense for if that number is about correct? And then also can you give us any more detail on kind of how much got pulled from third quarter to second quarter, i.e., kind of how we should think about the base of 2Q numbers going into 3Q on Fluids?
Elijio Serrano: The first part of the question I will address and then I will turn it over to Stu. So you are right, the peak of our Europe business is the second quarter and we traditionally see a $10 million sequential improvement.
Stuart Brightman: And then on the acceleration, Joseph, you may correct me if my numbers are wrong. There were couple of projects that came through faster. When you aggregate those two, they probably add up to $10 million of revenue in round numbers.
Stephen Gengaro: Okay. And so that’s kind of $20 million aggregate. The margin profile of those two businesses relative to the rest of Fluids, obviously Gulf of Mexico and European calcium chloride versus the rest of Fluids. Is that much different?
Stuart Brightman: We’ve always said that the Gulf of Mexico has a little bit higher margin profile than the average for the overall Fluids division and that the chemicals business in general is pretty consistent with the overall average. And the seasonal element of the business is not positive or negative toward a full 12-month margin would be on that type of business.
Stephen Gengaro: Great. Thank you. And then one other as a general question, when you -- you mentioned I think in the release and I think couple of times on the call, expansion of the customer base. And I think you’re talking about that in terms of both the US landside and the Production Testing, as well as the fluid side Offshore. But can you just clarify and add a little color to that?
Stuart Brightman: Yes. I mean, the way we talk about the expansion of the customer base, that’s a key metric that we have across the company. We track every month the dollar revenue associated with new customers from the bottom-up and that’s a very visible metric within the company. And we’re targeting as a total -- within our total revenue this year that we expect that number is going to be over a $100 million, which again offset some of the natural volumes. But that’s just going out with new customers, new products, new geographies that we haven’t done before. And we measure that every month. And when we talk about it, we’re talking about it on a company-wide basis.
Stephen Gengaro: And that will include new customers, plus new product expansion?
Stuart Brightman: Yes.
Stephen Gengaro: The $100 million, okay.
Stuart Brightman: Yes.
Stephen Gengaro: Great. Thanks for the details.
Stuart Brightman: Yes. But I am glad you asked that, Stephen. It’s a very, very important that we continue to emphasize that in addition to the very aggressive cost, we are focusing on customer diversification, expansion as well as, as Joseph highlighted, the technology and innovation that we are investing in.
Stephen Gengaro: That’s why you showed up well in the numbers.
Stuart Brightman: Thank you.
Operator: Our next question is from Jason Wangler of Wunderlich. Please go ahead.
Jason Wangler: Hey, guys. Just had one the Neptune Fluids, where you see in that rolled out to specifically? And just maybe just the market that you’re seeing, I guess, even geographically, or do you have any color about size I guess? Where is that really kind of the focus early on with it and where do you see it going as you kind of push it out to the market?
Stuart Brightman: All right. I will take this. Thank you for the question. I recommend that everybody just clicks on our external website and go through and please read the CS Neptune data. But just to give you a bit of overview, this a zinc free, environmentally friendly heavy fluid. We can go up to 15.4. And I am not going to bore you downward the details, but we see the first application with a couple of our major customers in the Gulf of Mexico. We hope to go beyond a single customer with the single first wealth commercial application. We are targeting many other customers in the Gulf of Mexico. We hope to win one or two additional customers moving into the second half of 2015 and the beginning of 2016. Our secondary markets for this would be a niche application in the North Sea. In the North Sea, zinc is not utilized, it’s prohibited, and what we feel we can do is offer our customers a cheaper alternative to the sodium bromide in those markets. But again, we believe that that is a niche application due to the limit of the heavy brine that we have currently. We will continue to invest in this product. We will continue to make sure that we can target a larger envelop, but at this stage, it’s still a niche applications with maybe three to four wells a year.
Jason Wangler: Okay. And so then it sounds like maybe we will get a little bit information on kind of those couple of wells that we’re targeting this call the next six months as the year goes on or maybe even early '16 and it will kind go from there?
Stuart Brightman: Absolutely, and we are tracking it very closely. What we would like to do is like as Stu mentioned is continue to grow that new business, whether it’s through geographical diversification or new product introductions in the markets where we actually work today.
Jason Wangler: Great. I will turn it back. Thank you.
Operator: Our next question is from Mark Bianchi of Cowen. Please go ahead.
Mark Bianchi: Hi, Elijio, apologies if you mentioned this when you’re talking about the free cash flow. But I am curious how much of a working capital either released or consumption occurred during the quarter and how should we be thinking about that for the third quarter, given the decline in Fluids revenues that you’re expecting?
Elijio Serrano: Well, two data points Mark. The first one is at the free cash flow was very little from working capital improvement. However, revenue increased sequentially over $60 million. Yeah, we’re able to keep for example, receivables flat to down slightly and therefore had no cash -- working capital burn as a result of that. So it’s almost exclusively from cash earnings in the second quarter. And we think that we’ll see in the third quarter very little from working capital improvement.
Mark Bianchi: Okay, okay. Great. And maybe just on the Offshore business because we haven’t really talked about that yet. Curious how you’re thinking about that strategically? I know the interest is there to potentially exit the business but maybe the markets not there. Any other kind of creative ideas that are being tossed around maybe say a leaseback opportunities or anything that could be something additional to a sale?
Stuart Brightman: Yeah. I mean, we’re always going to be focused on optimizing the business. The way you do that is in the short-term with the financial results in managing the business. So I think our result compared to last year on much lower revenue in a market that’s worse from a competitive point of view, clearly shows that we’re managing it very tightly and effectively. As we continue to do that, we need to see hopefully some of the deferred spending by our customers will begin the reverse over a period of time and we’ll get a little bit of help on the volume. But until that happens, it’s just focused on the business but we always look at the full range of options of all of our businesses. This one clearly when you look at the capital allocation, we haven’t put a lot of capital back into the business because in the short term there is not a payback for that. But we look at the alternatives that go with that.
Mark Bianchi: Got it. Nice work guys. I’ll turn it back.
Stuart Brightman: Thanks, Mark.
Operator: Our next question is from Martin Malloy of Johnson Rice. Please go ahead.
Martin Malloy: Congratulations on a good quarter in difficult environment.
Stuart Brightman: Thank you.
Martin Malloy: On the corporate overhead, that $17.2 million run rate, would that be roughly applicable for the second half of this year?
Elijio Serrano: No. The second half of the year will be slightly below those numbers.
Martin Malloy: Okay. Great. And then Production Testing you mentioned some international strength, could you maybe talk a little bit more about that in terms of geographies that you're seeing that in?
Joseph Elkhoury: All right. This is Joseph again. The last two quarters, I tried to go country by country in the international space and give you what we believe will happen compared to previous quarter. So, let me start with Canada. There was a significant ramp up in rig count coming out of the seasonal rig count drop in Q2 but nothing that compares to any previous record. This has been the slowest rig count recovery in the last decade in Canada. So there, our main objective is to continue to try and figure out how to be at the operating income level flat. So moving into Q3, we’ll see a very slight improvement to our Q2 performance. In Saudi, we continue to see strong demand but we are struggling with the rig assignments and what we want to do is make sure that we get our fair share of the business. So, our Q3 performance and second half performance will be very comparable to our first half performance in Saudi. In Brazil, we have continued to subcontract some of our packages to one of the largest oil field services companies and we see that continuing into the second half, so that’s been our PVT or operating income level positive as well. That gives you an overall view of where we operate. We still have a couple of the EPS projects ongoing. We will continue to operate those into the second half of this year. And we’re looking for other possible projects on the early production facilities for one or two of our existing EPS that we’re currently not running in that space. In addition to that our Mexico business is flattish. We had believed that the second half of the year will bring us a little bit more activity in Mexico. This is still yet to come. We’re still chasing it and we hope that maybe moving into 2016 with the new oil regulations and focus in Mexico, we might see some improvement in 2016 but not in the second half of the year. So this gives you a little bit of color to the international space.
Martin Malloy: Thank you. Very helpful.
Operator: Our next question is from Jim Wicklund of Credit Suisse. Please go ahead.
Jim Wicklund: Good morning, guys.
Stuart Brightman: Good morning, Jim.
Jim Wicklund: Impressive quarter and impressive move in the stock. A question and if you’ve answered this I apologize. But you laid out 24% of your people non-CSI in the quarter, yet revenues were up and you note that some of the revenues were from and Fluids at least were from accelerated activity, robbing Peter to pay Paul third quarter into second quarter. Can you kind of reconcile the revenue growth and the improvement in the quarter with the 24% reduction in workforce?
Stuart Brightman: Yeah. I mean, we may not have been clear to way we describe, but that 24% looking at it versus June 30 of last year. So it’s kind of compared to where we’re a year ago. But the general question of how we getting the throughput with the workforce reduction, it several things and I think the teams done a really good job of not just reducing people and activity but structurally changing a significant parts of the company in terms of how we organized, flattening new organization, consolidating facilities, at the same time from an overall back office point of view, continuing to centralize and really taken a lot of the support functions out of the divisions and bring them into a common centralized corporate pool. So those are all structural enhancements that will continue as -- whenever the volumes pick up. I think we also benefit on those types of metrics by Gulf of Mexico being a significant portion of the growth, doesn’t typically have the labor-intensity of some of our other businesses. And I think more importantly it highlights our ability to really respond to market activity, because we are vertically integrated. I think it's very important to highlight on the Fluids that, we've been building out this strategy for years and years, and when we do find a new product opportunities, a new customer opportunity, a new market expansion, our ability to respond to it is immediate.
Joseph Elkhoury: So let me just add to Stuart’s comments here. It has not been easy. This is -- I want to give kudos to all our division leaders, I want to give kudos to all our support functions. And yes, 24% is a big number, but I can tell you that everyone at TETRA today is really multiple has to make sure that we can manage this downturn. It is kudos to every single employee at TETRA that is basically coming up with ideas where we can preserve cash and look for opportunities to improve our financial performance.
Jim Wicklund: Well, ability to scale and structural improvements over just cyclical improvement are always things that we look for. As a follow-up, Maritech reminds me of the divorce that just never seems to close. The costs are obviously coming down, $300,000 in cost, $4 million in CapEx and you say you will be done in ’16? Can you remind me what you expect the remaining CapEx to be and when you say 2016, is that Q4 or by the end of the year, Q1 or by the end of the year?
Stuart Brightman: Yeah. I think, we’ve got around $50 million in around numbers left to do as of June 30th. And we’ll do 4, 5 balance of the year. We’re scheduled to do most of the remainder next year. There is a couple of properties we don’t operate at Offshore, will may get kicked out. And I expect the majority of the work we do will be middle second half of the year. We certainly don’t want to be working in the first quarter with the weather, just like everybody else kind of defers that until they get better weather environment. So we’ll be pragmatic in meeting our obligations, but also being aware of the overall market environment out there and our continued focus on the balance sheet.
Jim Wicklund: Okay. And finally, for good compressions it’s always been good, because you need compress to move product and there is gas and olive oil that we produce. Everybody is been bringing down natural gas prices? What you should guys outlook for natural gas over the next year or two?
Stuart Brightman: Yeah. Jim, I think we’re of similar opinion to the masses that that’s not going to be a major solution for us. We are going to have to self-help and do all the things we talked about from a cost and customer expansion. And the guys need to invest in that wisely into the areas where there is continued strength and that’s what they are doing. I think Tim and his team over at the MLP are very focused on leveraging our strengths. You heard Elijio mentioned, we will have an ERP implementation over the next year to really get to Compressco, and CSI groups fully effective and efficiently on a common system across all of the functions with the same system as TETRA and allows us another incremental piece of efficiency.
Jim Wicklund: Excellent. Okay. Gentlemen, thank you very much.
Stuart Brightman: Thanks, Jim.
Operator: Our next question is from Blake Hutchinson of Howard Weil. Please go ahead.
Blake Hutchinson: Good morning, guys.
Stuart Brightman: Good morning, Blake.
Blake Hutchinson: Joseph, in your review of kind of the international landscape for Production Testing, I didn't necessarily hear anything that was kind of a call out of significant sequential improvement over the 1Q. So, I mean, should we chalk up the success on the topline more to kind of the efforts over the last 12 to 18 months to be the first call with significant customers and this is really the quarter where we saw the most progress in those efforts, U.S. land focused?
Joseph Elkhoury: Yeah. That’s well said. When I first came to touch with the team, we rallied around Production Testing because we had lost significant accounts that we had to anchor accounts for us in the U.S. land operation and to diversify the customer base. What we really needed to do is cut down on projects that we did not make money on. So over the last year, what we have done proactively is look for those opportunities, that’s why in the prepared remarks and what Stu mentioned. The customer diversification has been from money losing contracts to profitable contract. What we have tried to do is lower the risk of exposure with customers that we believe are highly leveraged moving into 2015. We have successfully diversified those. We maybe working for a lot more customers, but we believe that the customers we are working for in this current environment are the active ones and the ones that can pay us on time. We have successfully tried to do that into the second quarter. But if you look at 10-Q that we’ll put out next week, you will see that the G&A for that division has improved significantly, Stu alluded to structural different organizational levels. We have flattened the organization, accelerated the decision-making and increased the amount of sales people. We have to win some of those contracts. So, this summarizes our performance today and the U.S. land onshore
Blake Hutchinson: Great. That’s very helpful. And then I was hoping to just -- I don’t know the best way to approach this but the Fluid certainly stands out for the quarter, but Testing and Offshore services tip to kind of eke out profitability in this environment is impressive. In Offshore services, can you characterize the type of asset utilization that you are experiencing right now? And I say that just because I'm trying to understand how low you’ve actually gone and still remain profitable? And then as follow-on to that, would you expect a kind of normal construction season, positive progression for that division or is it kind of what you see, what you get right now?
Stuart Brightman: Yeah. I think if you look at the business in the second quarter and kind of the progression we see for the balance of the year, overall I would characterize as just incredibly low demand. I mean, and there is just a deferral of spending by our customers that is -- as you call started, it’s started last summer and accelerated as the commodity prices came down and that’s continued. So there is no increase in demand taking place at all other than the seasonality of where we are at. We had very good utilization to the second quarter on our major diving and heavy lift assets. We expect that the majority of those assets will continue to work through the third quarter into the fourth quarter. We have a couple of gaps on our barge schedule that that we’re working on filling, but that’s reflected in the overall guidance that we talked about. On our P&A business, we have very wisely staffed that and scaled that at a much lower level than we had a year ago because of the unpredictability of the demand. And I think that’s beyond the obvious help on the cost side. I think that's helped to stabilize the business from a labor workforce point of you. Predictability, we feel really good about that. Our diving business has real low demand. There aren’t a lot of construction projects. We had third-party that released through the end of last year that we had stated we released. And we don’t not anticipate the need for a third party additional asset in the near term. Hopefully, next year, we’ll see a couple of projects come to fruition that would give us the opportunity to match a third party leased to that particular project. But overall other than the typical seasonal progression, where the first quarter is the worst, second quarter is significant better, third quarters is a little bit better, fourth quarter comes down again. It’s a tough business and to get to breakeven or above in that business. And again realize we have virtually zero internal work for Maritech and better than that business. So it’s all third-party in an incredibly tough market is a real credit to that leadership team. It’s not an easy job and the guys have done a phenomenal job, managing incredibly difficult situation.
Blake Hutchinson: And no doubt. I’ll turn it back with thanks. Thanks guys for all the detail provided throughout the call.
Stuart Brightman: Thanks.
Operator: This concludes a question-and-answer session. I would like to turn the conference back over to Mr. Brightman for any closing remarks.
Stuart Brightman: Yes. Thank you for all the questions. And again, thank you to our entire team at TETRA. Everybody in the company around the world did a phenomenal job in a very tough market. We are all proud of the group and we look forward to meeting our guidance for the third quarter and talking about it in early November. So thanks.
Operator: The conference is now concluded. Thank you for attending today’s presentation. You may now disconnect.